Operator: Welcome to Gevo, Inc. Q4 2018 Earnings Conference Call. My name is Adrianne, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. [Operator Instructions] Please note this conference is being recorded. I will now turn the call over to Geoffrey T. Williams, Jr., Counsel and Secretary of Gevo, Inc. Geoffrey Williams, you may begin.
Geoffrey Williams, Jr.: Good afternoon, everyone, and thank you for joining Gevo's fourth quarter 2018 earnings conference call. I would like to start today by introducing the participants from the company. With us today is Patrick Gruber, Gevo's Chief Executive Officer, and Bradford Towne, Gevo's Chief Accounting Officer. Earlier today, we issued a press release that outlines the topics we plan to discuss today. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and that we are providing a simultaneous webcast of this call to the public. A replay of today's call will be available on Gevo's website. On the call today and on the webcast, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from, or as a substitute for, financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred, including, but not limited to, projections about Gevo's operating activities for the remainder of 2019 and beyond. These forward-looking statements are based on management's current beliefs, expectations and assumptions, and are subject to significant risks and uncertainties, including those disclosed in Gevo's Form 10-K for the year ended December 31, 2018, which will be filed with the SEC on or about March 27, 2019, and in subsequent reports and other filing made with the SEC by Gevo, including Gevo's quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today's date and Gevo disclaims any obligations to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, Pat will begin with a discussion of Gevo's business developments. Brad will then review Gevo's financial results for the fourth quarter of 2018. Following the presentation, we'll open up the call for questions. I'll now turn the call over to Pat. 
Patrick Gruber: Thank you, Jeff. And thank you all for joining us today. The position of our company is quite a change from a year ago. We've turned our balance sheet around. We have a solid plan to get to profitability and we have huge growth potential as the markets for low greenhouse gas fuels become real. Now, in terms of our balance sheet, as of today, we have approximately $35.5 million of cash on hand and less than $14 million of debt. The improved capitalization of the company, of course, makes a difference going forward. We have money to get going on the plant to decarbonize our Luverne Facility and significantly improve the profitability of that plant. Between the startup and operation of the Shockwave Dry Frac technologies, which are designed to make feed products that result in higher margins and the decarbonization of the Luverne facility we can see it's possible to make significant improvements in profitability over the next 18 months, maybe even becoming profitable in spite of carrying a fairly hefty burn for the market development and commercialization of IBA, isooctane, jet fuel and other related products. Said differently, we plan to, A, decarbonize the Luverne facility to improve profitability, while concurrently, B, obtaining IBA, isooctane and jet fuel contracts that drive large future growth. Now, we just signed a deal with Haltermann Carless. It is significant because it's a long-term deal, worth up to $80 million for isooctane and specialty markets. The contract is set up to be attractive to debt lenders. It's what people commonly call a financeable take-or-pay contract. It's significant to us because between Haltermann Carless and what we already have from Avfuel, significant capacity, about 50% of our planned expansion of the Luverne facility is spoken for. Recall that our process makes mixtures of isooctane and jet fuel. This contract represents what Tim Cesarek, our Chief Commercial Officer, likes to call the first domino to fall. The expectation is that we fill out our plant with additional financeable contracts for the rest of the volume. I'm not sure what the final product mix will be. It depends upon which products make us, A, more money and, B, get us on the strong demand track so that we can get on with fast growth part of our business. Now, we announced a cooperation with Renmatix. Renmatix enables wood as a feedstock for a process like ours. No new technologies need to be developed as we both already have done our work. This is all about commercial development and projects. It broadens our breadth and scope. We are receiving quite a lot of interest. We expect to finally finalize the Praj license agreement soon. We most likely will expand the relationship with them to include jet fuel in India. The idea would be to use rice straw and make jet fuel and isooctane out of it. Now, overall, we have six commercial projects in discussion, focused on isobutanol, jet and isooctane, two of these already have MOUs. These projects are all about what happens independent of whatever we do at the Luverne facility. We'll announce these when they're ready. Now, with Haltermann, the first domino has fallen. We are working on getting the additional contracts covering the rest of the capacity for the expansion of the Luverne Facility, so that we can build a large profitable, growth-oriented business. As we work to decarbonize our Luverne Facility, you will see us involve with a wind project and with renewable natural gas. These projects will make a very large difference in our carbon footprint at Luverne. Initially, we expect to capture the value of the low carbon index score via ethanol to California, but eventually it will benefit isobutanol, jet and isooctane too.  So, summarizing what to expect in 2019, look for more commercial development with the announcements, including events with Avfuel, more commercial development projects with Brisbane and Queensland. There's lots of interest there. Expect to see announcement regarding the completion of the Praj deal. Announcement of additional financeable offtake contracts for our Luverne Facility expansion. Announcement of progress and milestones on other projects beyond the Luverne Facility. This is in reference to the six things, the six commercial development projects I had mentioned previously. Startup of our Dry Frac process and improved margins at the Luverne Facility. Look for announcements regarding the details of our wind and renewable natural gas projects. Look for announcements regarding our financing plans as we put forth our projects. Of course, it's a different game for us now in terms of accessing debt and new equity. 2019 should be a good year for us. We have our financial house in better order. We have with a solid plan to obtain profitability and to grow. The macroeconomic and political environments are working in our favor too. Greenhouse gases and global warming are mainstream issues in the news and politics and, importantly, in consumers' minds. We expect these trends to continue and become even more important over time. And these trends will be good for Gevo. They should cause our customers and our business partners to get after it, to do something to address global warming. There aren't too many low carbon fuel technologies that have been proven to work. Yet, we have one. It works. I'm looking forward to 2019 as a breakout year for Gevo. Now, I will turn the call over to Bradford who will take us through the financials. Bradford?
Bradford Towne : Thank you, Pat. Gevo reported revenue in the fourth quarter of 2018 of $6.6 million as compared to $ 6.7 million in the same period in 2017. The decrease in revenue during the fourth quarter of 2018 is primarily the result of a declining coproduct revenues due to a decline in production volumes, combined with the elimination of the lease of our feedstock storage facilities in our Luverne, Minnesota facility effective January 2018. Cost of goods sold was $9.7 million in the fourth quarter of 2018 versus $9.3 million in the same period in 2017. Cost of goods sold included approximately $0.1 million associated with the production of ethanol, isobutanol and related products and approximately $1.6 million in depreciation expense. Gross loss was $3.0 million for the fourth quarter of 2018 versus $2.7 million for the fourth quarter of 2017.  Research and development expense increased by $0.4 million during the fourth quarter ended 2018 compared with the same period in 2017 due primarily to facility expansion investments at Gevo's production facility located at South Hampton Resources to increase production of hydrocarbons. Selling, general and administrative expenses increased by $1.1 million during the fourth quarter of 2018 compared with the same period in 2017 due primarily to increase in employee related expenses and consulting expenses. Within total operating expenses for the fourth quarter of 2018, we reported approximately $0.3 million for non-cash stock-based compensation. For the fourth quarter of 2018, we reported a loss from operations of $6.7 million compared to $4.8 million for the same period in 2017. In the fourth quarter of 2018, cash EBITDA loss, a non-GAAP measure which is calculated by adding back depreciation and non-cash stock-based compensation due to the GAAP loss from operations, was $4.8 million compared with $3.1 million in the same quarter of 2017. Interest expense for the fourth quarter of 2018 was $0.7 million, a decrease of $0.1 million as compared to the same period in 2017. This decrease was primarily due to lower principal balance on our debt obligations in 2018 as a result of a conversion of $3.7 million of our convertible notes during the 2018 fiscal year. It's important to remember the significant progress we made during 2018 to improve our balance sheet. At the beginning of 2018, Gevo held approximately $11.6 million of cash on hand and approximately $17.2 million in outstanding principal owed under 2020 and 2022 notes. As of December 31, 2018, the company had $33.7 million of cash on hand with only $13.8 million of outstanding debt remaining. As of today, March 27, 2019, Gevo holds approximately $35.5 million of cash on hand. For the fourth quarter of 2018, we reported a net loss of $7.1 million or a loss of $0.83 per share based on a weighted average shares outstanding of 8,578,797 shares. This compares to a loss of $4.4 million in the fourth quarter of 2017 or a loss of $4.06 per share. In the fourth quarter of 2018, Gevo recognized a net non-cash gain totaling $0.4 million due to changes in the fair value of certain of our financial instruments, such as warrants and embedded derivatives. Adding back these non-cash gains resulted in a non-GAAP adjusted net loss of $7.5 million in the fourth quarter of 2018 or a non-GAAP adjusted net loss per share of $0.87. This compares to a non-GAAP adjusted net loss of $5.6 million in the fourth quarter of 2017 or a non-GAAP adjusted net loss per share of $5.19. Having a stronger balance sheet is important to moving our business forward, developing our business and growing our business. With that, I would like to thank all of our shareholders for their continued interest and support in Gevo. Let's open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions]. And our first question comes from Amit Dayal from H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good afternoon, everyone. So, Pat, this 1 million gallon isooctane capacity buildout, can you clarify why you are sort of waiting on maybe, say, some external financing to move forward the buildout. And the balance sheet looks relatively strong. Is there any sort of particular reason why you want some sort of external financing to support this buildout?
Patrick Gruber: Yeah. It's because I think that this contract is a good take-or-pay contract and I can get debt financing to do it to help with it, and that will make sure that we don't have to raise money anytime soon. So…
Amit Dayal: Are you already working on sort of trying to get financing for this or is this going to be dependent on any other agreement like HCS coming through?
Patrick Gruber: We have enough agreements to work on the debt already.
Amit Dayal: Understood.
Patrick Gruber: And, plus, we have to refinance white box in March of 2020 or buy that or redo the agreement or something. And so, we've got to sort it out sooner rather than later. I don't want to get – I want to make sure we stay well in front of stuff. But, yeah, the reason is that we spent some money on engineering. Our expense went up in the fourth quarter. So, we did spend some money on engineering for some of this stuff that we thought was coming. We're going to finish out. It shouldn't take very long to build the skid, is what we call it, the million gallon plant as a skid. And it's for market development and it doesn't impact. It will, in fact, enhance what we do for the full buildout and its timeline. But it's all about market development, making sure there's enough quantities of product especially in Haltermann Carless serving these specialty markets, the high-end stuff. We want to make sure we get that.
Amit Dayal: So, how much sort of financing are we talking about, like below $10 million, below $5 million. Like, how much do you need to get this going?
Patrick Gruber: We haven't disclosed it yet. We will. It's not a huge number, though. 
Amit Dayal: Okay, understood. And just following along those lines, does your agreement with HCS require you to deliver certain volumes by certain dates in 2019? Or is this – there's flexibility around this?
Patrick Gruber: There's flexibility around it. We work with them closely. They recognize what we are doing is new and that we – I don't have – I can't build out the big plant, for example, when they need the real quantities because we still have to sell more of our plant, and so its flexible in that regard. We work with them.
Amit Dayal: Understood. And just moving to the ethanol side of things, of the 18 million gallons you're shipping in – or planning to ship in 2019, how much do you think the low-carbon ethanol will comprise of?
Patrick Gruber: That is a good question. And in 2019, I think that our low carbon projects, that's wind and renewable natural gas, the wind could probably be implemented by the end of the year, although I'm not 100% sure yet, but early next year I would expect it for sure. And then, the renewable natural gas would probably – we start to see a benefit from that in 2020. So, those projects I think we're well-funded for. And they do add quite a lot of value. It's a big CI difference. And you recall how that works, right? The lower the CI score, each CI unit is worth right now about a $0.015 in California. And so, that's a straight up margin add. And so, when we're talking about a 30 or 40 CI score drop, that would be great. That's the kind of thing we're thinking about here and then try to spend the least amount of our own money as possible, while we do it and leverage up debt because each of those projects themselves are financeable.
Amit Dayal: So, even if you assume 2019, there won't be a lot of low-carbon ethanol in the sales mix, will 2020 be like 90%, 80%? Like, what level of low-carbon ethanol will – you're able to sort of deliver in 2020?
Patrick Gruber: I don't know yet. That's a question for the next quarter probably. I'll have a better time line because we're – if I want to spend my equity that I have on the balance sheet now, I could probably drive it to the – in the first half of the year. I think it's a much wiser decision to use a little bit of our equity and a whole bunch of debt on subprojects or subco-projects, is how we are thinking about it. And that's going to take a little bit longer, but I think it makes more sense. It's much less dilutive for us because otherwise I'd have to go and raise money eventually. So, we're trying to really make sure that we're taking advantage of the money that's out there in the least dilutive way we can. 
Amit Dayal: Understood. Just one last one for me. The hydrocarbon sales in 4Q 2018, who are they to?
Patrick Gruber: It was a mixture of people, but Haltermann.
Amit Dayal: Okay, understood.
Patrick Gruber: The other thing we did, we talked about – I didn't put it in the press release, I should have. We did expand successfully the plant down in Silsbee to 100,000 gallons a year.
Amit Dayal: Yes. Actually, I read it in the press release. 
Patrick Gruber: Oh, good.
Amit Dayal: Yeah, yeah, yeah. I'll follow-up with my other questions offline. Thank you so much.
Patrick Gruber: Yeah, sure.
Operator: And that concludes our question-and-answer session. I'll turn the call back over for final remarks.
Patrick Gruber: I do expect this year to be a breakout year. Tim Cesarek is very pleased – I'm too – with this Haltermann Carless contract. It is the first domino to fall. And I think it'll be quite interesting to see what happens with us as we bring home more isooctane contracts and jet contracts. So, it should be a good year, I think. Thank you very much for joining us. Bye.
Operator: Thank you, ladies and gentlemen. This concludes our conference call. Thank you for participating. You may now disconnect.